Joe Veltri: Thank you, Clara, and good afternoon or good morning to everyone. Welcome to the first webcast of our quarterly results for the newly formed company Fiat Chrysler Automobiles. The earnings release issued earlier today together with the presentation material from today’s call are available on our Investor Relations website. As is customary, today’s call will be hosted by the Group’s Chief Executive, Sergio Marchionne; and by Richard Palmer, the Group’s Chief Financial Officer. After introductory remarks, they will be available to answer your questions. Before we begin, let me remind you that any forward-looking statements we might make during today’s call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included on Page 2 of today’s presentation. As always, the call will be governed by this language. With that, I would like to turn the call over to Mr. Sergio Marchionne. 
Sergio Marchionne: Thank you, Joe. I’m going to spend very little time discussing Q1. I think from a Group standpoint, we have delivered a decent set of results. Richard will take you through the intricacies of the earnings announcement. A couple of things that I think you need to keep on mind. I think some of you are concerned about the level of debt at the end of the third quarter. If you follow the historical pattern of the working capital build in FCA, you will understand this is purely due to seasonality and I would not read much into the numbers this time. The other thing is that what is buried in the EBITDA number and we are announcing to that and Richard will explain is what I consider to be significant cost associated with the recall campaigns in U.S. We have now flagged this issue up. We consider this to be sort of part of – unfortunately part of normal trading performance. I’ve mentioned this in the past but I think we need to get use to a time of adjustment here as we understand exactly how to deal with this increased activity. I’ve also been of the view that over time these cost basically become structural, so the business will end up being part of the pricing mechanism of the marketplace. So I’m not sure. Then I would count on these as being sort of permanent deductions from our normal earnings generation function. It’s a big day, I think today we resolved a number of issues that we have been facing here at FCA for a number of years. Certainly from this very first time that I joined the Group back in 2004, the sole question about the inclusion of something which is as unique as Ferrari in our portfolio and the ability to maintain that business within default even though valuation metrics are drastically different between these two businesses. There has been initiative that we’ve dealt with and Russell worked for a number of years. I think today the announcement that we made today and especially I think the clarity of intention about the method with which we are going to deal with this outfit is going to lay a lot of concerns about what our future look like. I think we are doing the right thing by giving Ferrari a proper unique place in the capital markets to be evaluated and valued as a luxury automaker. And I think that the opportunity to do this in an intelligent way by coupling it with a mandatory convertible is probably the best way in which we can guarantee. The least amount of dilution and it was the same time providing what I consider to be a more than sufficient equity base for us to execute the plan over the phone over the remainder of the plant here. The other thing that we’ve done which is somewhat unusual is, in order to sort of lay in concerns that you may have over 15 week given you our best week today obviously will come from these numbers when we finish off the year. But our first read of what 2015 looks like and that roughly 5% about 2014 level, so we remain bullish on 2015. I think this is – I’m expecting a decent performance in the fourth quarter as the Jeep and the Fiat 500 production ramp up. I think next year is going to be decent year and we certainly are [robust] (ph) the introduction of Alfa at the conclusion of the second quarter of 2015. I had no bad news to give you. I think that the announcement that we laid out today including a very clear commitment to remove all refinancing problems associated with the Chrysler financing is going to certainly pace the way for absolute clarity in the financing structure of Fiat Chrysler. Now that we are listed in New York, I think we are continuing to work with a number of advisors to try and find the way to accelerate the time frame associated with the payment of those bonds, the ones that are callable on June 15 and June 16. And hopefully we can remove the last total of this very peculiar financing arrangement that we made to a peculiar time in our history. But today is a big clean up day and we’ve dealt with a lot of residue and I think we are creating the basis for a sound basis for the execution plan going forward to 2018. Richard?
Richard Palmer: Thank you, Mr. Marchionne, and good day to everybody. I’m pleased to present you the financial results of FCA for the first time after the effectiveness of the merger of Fiat S.p.A. into Fiat Investments N.V. These results are brought under the same accounting standards IFRS and are fully comparable with figures previously reported by Fiat S.p.A. Now let’s start from Slide 4 on the third quarter summary. Group worldwide shipments in the quarter were up 10% year-over-year to 1.1 million units. This takes nine months shipments of €3.4 million. Group revenues were €23.6 billion, nine months revenues amounted to €69 billion. EBIT was €926 million resulting in nine months EBIT, reaching €2.2 billion, which our net industrial debt at September 30th was €11.4 billion. Total available liquidity for the Group by the end of the quarter was €21.7 billion. On August 1st, the shareholders meeting approved the cross-border merger of Fiat S.p.A. with and into its wholly-owned subsidiary incorporated in the Netherlands Fiat Investments N.V. This merger became effective on October 12th after all conditions precedent have been met. The new company renamed as FCA and started trading on both the New York Stock Exchange and the Milan Stock Exchange on October 13th. In July, the Group issued an €850 million bond with a 4.75% coupon and an 8-year tenor, which was subsequently reopened and increased by additional €500 million in September. Both in September Fiat issued a Swiss Franc bond for €250 million with a 3.125% coupon and an 8-year tenor. On the product side, the highlight of the quarter was the launch of the new Jeep Renegade in Europe. The new Jeep is produced in Italy as a multi-brand and expand the brand as market coverage by the entering the small SUV segment. On the back of Q3 performance, we are confirming our full-year guidance and in addition our initial view on 2015 worldwide volumes would indicate that they will be in the range of 4.8 million to 4.9 million units. Moving to slide 5, which shows the Group financial performance for the quarter, Group shipments were up 10% with all regions contributing positively except LATAM, which declined by 14%. NAFTA and APAC were up 21% and 22% respectively. EMEA was up slightly a plus 3%, while Luxury Brands were up 94% driven by the outstanding performance in Maserati. Year-to-date shipments were nearly 3.4 million units compared to 3.2 million last year, an increase of 7% year-to-date. Group revenues were up 14% attributable to the higher volumes in NAFTA and APAC as well as increase for Luxury Brands, up 35% driven by higher Maserati volume. Revenues for the components business were up 11% year-over-year. Group revenues for the first nine months were €69 billion more than €6 billion up compared to last year or 10%. EBIT for the Group was €926 million in the quarter, up 7% from Q3 2013. I’ll provide more details by region on the following pages. Year-to-date EBIT was nearly €2.2 billion compared to €2.5 billion last year. Year-to-date EBIT excluding unusual items was €2.6 billion. Net profit for the quarter was a €188 million in line with prior year. This includes net financial expenses of €511 million and income taxes of €227 million. Net profit ex-unusual items were €224 million versus €190 million last year. Year-to-date net profit totaled €212 million, and ex-unusual the year-to-date net profit totaled €509 million compared to €691 million last year. Net industrial debt at September end was €11.4 billion, up from €9.7 million at the end of Q2 2014 reflecting seasonal cash absorption of €1.7 billion, which is in line with the prior year. CapEx of €2.1 billion for the quarter is in line with full-year guidance and up from €1.8 billion in the same period last year. Liquidity remained strong at €21.7 billion including €3.1 billion of undrawn committed credit lines and was consistent with €21.8 billion at the end of Q2 2014. Operational absorption and bond repayments at maturity were offset by new bond issuances and bank financing, as well as a favorable currency translation impact. Turing to page 6, you can see the year-over-year changes in EBIT for the various areas of the business. All segments were favorable with the exception of LATAM which continue to experience weak market conditions. In the blue box below the graphic, you can see performance compared to the sequential quarter. EBIT declined by €35 million driven by seasonal negative impact in EMEA and components. Higher warranty and recall costs in NAFTA and the negative performance in LATAM partially offsets but improvements in APAC and from Luxury Brands. Slide 7 shows the drivers of the change in net industrial debt, which increased by €1.7 billion during the quarter. Change in working capital was negative by €0.9 billion, reflecting the seasonal impact to reduce production and sales levels in Europe and NAFTA. CapEx spending was €2.1 billion reflecting new product launches in start-up costs for the Pernambuco plant.
 : U.S. market share was up 110 basis points versus prior year, driven by 20% increase in retail sales. Fleet mix was in line with prior year at 18%. Dealer inventory in U.S. remains stable at 71 days’ supply versus 72 days at end of Q2. In Canada, vehicle sales were up 16% to 78,000 with Jeep sales more than doubling versus prior year. Market share was up 60 basis points. In the quarter several of our products received awards from the Texas Auto Writers Association, including the RAM 2500, Jeep Cherokee and Jeep Grand Cherokee which was named SUV of Texas for the fifth consecutive year. Page nine deals with the financial highlights of the NAFTA region. Shipments were up 21% to 613,000 units with U.S. up 23%, Canada up 21%, and Mexico down 11%. Revenues were up 20% year-over-year. EBIT in the quarter was €549 million, on a year-over-year basis the volume improved due to an increase in the shipments of 108,000 units and net price was higher due to positive pricing actions partially offset by higher incentives on certain vehicles. These positive effects were nearly offset by higher industrial costs due to vehicle content enhancements and high warranty and recall costs principally due to some campaigns, these costs were partially offset by purchasing savings. Compared to previous quarter, NAFTA EBIT decline were €49 million mainly due to the increase of vehicle costs partially offset by the better pricing. Moving onto slide 10, the NAFTA and auto industry was down in the quarter by 14% reflecting vehicle trading conditions. In Brazil, the industry was down 12% year-over-year and down 30% in Argentina due to import restrictions introduced in 2014 and taxes on higher-end models. In the region our sales were down 33,000 units due to the general market weakness. Market share however was up slightly by 10 basis points of 15.9%. In Brazil, share was up 10 basis points and the Group maintains market leadership was up 360 basis points lead over the nearest competitor. In Argentina, share was up 170 basis points with sharing the combined A/B segment at 16.7%. Thanks for the strong performance by the new Palio. Stock levels remains in line with a prior year at around one month of supply. The upgraded Novo Uno was launched in September with new advanced features and replaced the interior, exterior design. Turning to page 11, shipments in LATAM were down 14% with Brazil declining by 9% and Argentina by 27% reflecting the overall market deterioration partially offset by our market share increases. Revenues were down 12%. EBIT declined €51 million. Impact from volumes was negative with 33,000 units decline, reflecting the worsening trading conditions, partially offsets by better mix. Disciplined pricing actions in Brazil and Argentina, nearly offset the increased industrial costs and SG&A which were impacted by higher input cost inflation, Pernambuco start-up costs and higher advertising related to new product launches. Compared to the prior quarter EBIT declined by €11 million, despite a positive contribution from a mix principally due to FX impact and some restructuring costs. Moving Slide 12, APAC continue to experience strong industry demand with continued growth in China, India, and South Korea partially offset by a slight decline in Japan and Australia. Group sales including JVs were 66,000 vehicles during the quarter, up 25% year-over-year and outperforming the industry. Sales increased significantly in China, South Korea, Australia, and Japan, while India was down. Jeep remains the region’s top brand representing 52% of total Group sales and growing about 37% in the quarter, driven by strong performance of Grand Cherokee and the newly launched Cherokee. The Cherokee was also introduced at the recent Indonesia auto show and will be the first model commercialized by FCA in that country. Fiat brand volumes were up 16% driven by Viaggio and Ottimo. FCA gains share in all major markets except in India with Australia having the highest gain of 70 basis points. Moving onto Slide 13, APAC continued its strong performance with shipments up 22% with the Jeep, Fiat and Dodge brands all increasing by more than 20%. Revenues were up 30% driven by the higher shipment number. EBIT for the quarter reached a record level of €169 million, primarily in the back of both positive volume and mix. Net price deterioration primarily reflects the competitive environment in China and negative FX impact for vehicles imported to Australia. SG&A increased to support the continued volume expansion. For the EMEA region on Slide 14, the passenger car industry for the EU28 plus EFTA registered its fifth consecutive quarter growth with demand up 5% to 3.1 million vehicles. All major markets experienced growth with Italy and Germany each up 4%, UK up 6%, and Spain up 16%. France remained flat. Passenger car sales for FCA were up 1% to nearly 200,000 units with market share of 5.5%, down slightly due to share losses in Italy. Share in Europe excluding Italy was stable at 3.3%. During the third quarter, the Jeep Renegade was launched. The first FCA vehicle designed in U.S. and manufactured in Italy for sales to customers in more than 100 countries worldwide. Pre launch activities and media drive events were conducted in the quarter with the vehicle receiving very positive reviews. Market launch in Italy began in September and will be followed by other European markets during Q4. For LCVs, the industry was up 12% to 407,000 units driven by recovery in all major markets. Italy was up 24%, the UK up 20%, Spain up 24%, Germany up 10%, and France up 1%. Group sale grew up 11% to 60,000 units. Market share increased by 30 basis points to 10.9% with share gained in particular in Spain, Italy and UK. Moving to slide 15, overall shipments in EMEA were up 3% to 218,000 units with passenger cars up 1% to 169,000 units and LCV up 13% to 49,000. Revenues grew 6% on the back of favorable mix driven by Jeep and LCV performance, as well as the higher shipment volume. These two factors also contributed to EBIT improvement along with a further reduction and industrial cost driven by consecutive efficiencies and purchasing statement for savings partially offset by the startup cost of the Melfi plant due to the Jeep Renegade launch. Net pricing however was negative due to continued competitive pressure in the passenger car segments. The increase in SG&A were driven mainly by jeep advertising to support brand growth and the launch of all-new Renegade. On the following slide, we’ll review the performance of Ferrari. Revenues were $662 million in Q3, an increase of 24% from Q3, 2013. Ferrari shipped 1,612 units up 8% versus Q3, 2013. Shipments of 12-cylinder models were down 10%, while shipments of 8-cylinder models were up 15%. The U.S. which is the number one market for the brand was down 14%, volume was up 4% in the five major European markets and Asia Pacific volumes were also up significantly. EBIT of €98 million to €99 million was flat compared to last year. Moving to slide 17, Maserati shipments for the quarter were newly 8,900 units compared with around 4,000 units in Q3, 2013 driven by the continued success of the new Quattroporte and new Ghibli with each major market more than doubling its sales. North America is a number one market for the brand was up 106% versus Q3, 2013. Greater China was up 106% and Europe was up 177%. Revenues total of €652 million an increase of 47%. And EBIT for the quarter was €90 million, more than double that of Q3 2013 on the back of the record volume growth. EBIT margin rose by more than 400 basis points to 13.8% compared to 9.7% a year ago. The Components business is shown on Slide 18, posted combined revenues of €2.1 billion, representing an 11% increase for the quarter with combined EBIT of €48 million, up 30%. Revenue from Magneti Marelli rose by 15%, with positive performance in North America and Europe, offsetting a decline in Brazil, while China was flat. EBIT was €37 million, an increase of €9 million, many reflecting higher volumes. Taxed revenues were €152 million. Volumes were down 12% this constant perimeter of Cast Iron business and up 17% for the aluminium business. EBIT was up €2 million. Camaro revenues were €335 million, with a 4% increase mainly attributable to the Body Welding business. EBIT was €9 million. Order intake total €484 million, an 19% over the third quarter 2013. Moving to the Slide 19, which shows upcoming products and post-quarter end events, the RAM ProMaster City developed from the successful Fiat Doblo will be launched by year end. We had several best-in-class features including best-in-class fuel economy, payload and cargo volume and that was the first 9-speed automatic transmission available in a commercial van. The all new FIAT 500X will be launched in Europe in Q1 2015. This new combat crossover expands the 500 family by offering a mini combination of style and function, and will be available in both in 4x2 and 4x4 configurations. Pre-launching activities of all these began across Europe. We can move to Slide 20 to review our expectations for full year 2014 market demand in each region. For NAFTA we have slightly increased our estimates for the U.S. industry and are expected to reach 16.7 million units previously at 16.5 million units. In Canada the market is projected to be substantial in line with the record levels reached in 2013 of 1.8 million vehicles. The outlook for LatAm has been adjusted down with the 5.2 million vehicles to reflect the market uncertainties that continue. The Brazilian market is expected to be down for the full year by 8% while Argentina is expected to decline by double-digits. In APAC, the industry demand is still projected up by 7% with improvements driven by China, India and South Korea. The overall passenger car industry in European countries is confirmed up 5% year-over-year. And the LCV market in Europe is confirmed at 1.7 million units with Italy expected to post 14% increase. Finally, turning Page 21, as stated earlier, we are confirming our full year guidance for 2014. Shipments were expected at about 4.7 million units, revenue is expected to be great than or equal €93 billion, EBIT net unusual between €3.6 billion to €4 billion, Group net base ex-unusuals, between €0.6 billion and €0.8 billion, and net industrial debts at year end between €9.8 billion and €10.3 billion.
Unidentified Company Representative : Thank you, gentlemen. I will now turn the call back over to Claude, and we’ll begin the Q&A Session.
Operator:  Thank you. Ladies and gentlemen, today’s question-and-answer session will be conducted electronically. (Operator Instructions) We will now take our first question from Philip Watkins of Citi. Please go ahead.
Philip Watkins – Citigroup Investment Research: Yes, good afternoon. Thanks for taking my questions. Philip Watkins from Citi. I wanted just to ask a couple of things. I don’t know if you could perhaps comment really. But on Ferrari, how much do you think is worth? Firstly, when I look at the mandatory convertible of 2.5 billion, what’s the thinking behind the absolute number? Those would be the kind of ratings in the outlook and it looks stable. It’s a quite big number. So what drives that? And currently, actually on the Ferrari IPO the proceeds of 10% go into go into XCA. That’s the intention. Thank you.
Sergio Marchionne:  The profits of a 10% are FCA proceeds. The question about, how much is Ferrari worth. The best way to look at this, I think you need – obviously we have an internal view which is property positions Ferrari in the luxury goods world. I think you need to wait until the market assigns the value to this asset. I can tell you that it is drastically different from the valuation that’s being applied to a (indiscernible) and for that matter to any other carmaker worldwide. So I think we will all be pleasantly surprised when the thing does flow and when it plays. In terms of the wisdom behind the €2.5 billion, we have run some significant stress test in our system here to find that what is the amount of capital that is required to withstand the most severe contraction of volumes across the business that we think that by the combination of the price and of the 100 million shares and the €2.5 billion mandatory gross dividend uplift from Ferrari before it gets loaded up plus the placement of 10% of the shares that will have more than enough capital to withstand potential reversible volumes in the marketplace and gives us all the comfort to go up there and execute the plan for 2018. It is really designed to deal with the worst case scenario. I think that we had a pretty lengthy dialogue with our Board today. I think we all feel relatively comfortable that we’ve looked at for the worst possible scenario. I’m delighted that we were able to get it done because it’s – from our historical position, you understand that if you look at the history of Fiat going back to 2004 other than the complex standard which existed prior to my arrival. We have not raised a single euro back then notwithstanding the turmoil back in 2008 and 2009 and we carried out the acquisition of the remaining interesting parts that were raising equity. So, this is – we did put everything in the right place. So I think the spinoff of Ferrari gives phenomenal support for the placement of the equity, phenomenal underlying element in the evaluation on the (indiscernible) fact that these also merge and the shareholders will receive FCA and Ferrari shares. So, I think it’s an intelligent way to try and deal with the potential evaluation after a mandatory. We’ll just have to go out there in the next few days and we’ll try and put the final touches for this document so we can hit the street with best selling. We’ll try hope to gone done within the month of November.
Philip Watkins – Citigroup Investment Research: It’s balanced as well that in terms of Ferraris, is it likely to go debt free or is any intent to put that…?
Sergio Marchionne: Our objective is mature the Ferrari, retain this investment grade specs. And so, we’re working that with our advisors. There’s no doubt that the business can withstand a level of debt.
Philip Watkins – Citigroup Investment Research: Yeah.
Sergio Marchionne: And so, I think we’ll place enough in there to make sure that it looks like a normal business and that it still satisfies the criteria of investment grade.
Philip Watkins – Citigroup Investment Research: And then actually within that, I mean what’s – does in that debt to EBITDA? What do you think is in appropriate levels remain? What weightage do you think appropriate level to make investment grade whereas interdictions of that?
Sergio Marchionne:  That it’s, and then it was us trying to deal the argue in that fashion. Let me tell you what I think the total package of the operation is worth in terms of capital injection. It’s worth and enabled at €4 billion all-in, when you take out the piece of coming through. The net impact for our deposition today of the revenues assumed that the (indiscernible). 
Philip Watkins – Citigroup Investment Research: Yes. 
Sergio Marchionne: After everything was executed. And one work, a bit of information which you may just store in the back of your head for thoughtful conversation purposes, is by 2018 the impact on our reported earnings, not earnings per share, it is obviously rising shares, I mean on reported earnings is almost negligible. This operation does not change directionally or even from a quantitative standpoint does not change the 2014 to 2018 plan. So the great thing about this business and the way in which the plan was structured is after we finish all this as a result of the realignment of the debt, the reduction in that levels, the reduction and the quality that we’ll be able to accomplish through August, especially after we remove the length fencing is going to have almost a negligible impact on net income for the Group going forward.
Philip Watkins – Citigroup Investment Research: And so, if I could just one more on Ferrari, how will it fund credit sales? I’m just thinking about how to think about how much debt might go into that.
Sergio Marchionne: As I said, that’s not fine. So I can guess the choice will pull enough that in there – that they can easily withstand in investment grade great analysis. So I’m just… 
Philip Watkins – Citigroup Investment Research: Okay.
Sergio Marchionne: It will be evident when we do it.
Philip Watkins – Citigroup Investment Research: Thank you. Thanks.
Operator: We will now take our next question from Fraser Hill of Bank of America Merrill Lynch. Please go ahead. Your line is open.
Fraser Hill – Bank of America Merrill Lynch: Hi, good afternoon. Fraser Hill from Bank of America. Just wanted to come back to Ferrari obviously and just think about the cost stride part of the business going forward. I think in the past you’ve talked about the business possibly looking – being able to sell substantially higher in that unit to maybe moving from the 7,000 or so level up to the 10,000 or 11,000. So can you give us a bit of color around how we should think about that increase in production, what sort of time scale, what sort of investments are going to be required to get that point? Maybe a little bit of color on CapEx, CapEx to sales, how that should progress? Next question was moving on to North America and the margins, I mean you were disappoint with the profitability in Q2. I think you were quite clear on the call on Q2 that you needed to address for the broad intensive and commercial support for the business. And it feels as if you should have had some tailwinds from cost falling away, I guess in terms of launch across quite a few hundreds. What was really the bigger wait and how should we think about that improving if at all going forward. Thanks.
Sergio Marchionne: Maybe, tomorrow we get the second question. Another way (indiscernible) to respond and maybe you can give some color on the warranty and repair and where one off recall cost because it’s still used. I mean the the numbers are relatively large when you look at the bar chart. If you look at the size of the increase in industrial costs it’s about nearly €0.5 billion.
Richard Palmer: Okay, great. So the industrial costs increased – that increase of 460 million includes 200 million (indiscernible) of campaign and warranty cost increase because of recall campaigns principally. So, if we were to exclude those going forward as they may or may not be one of our services businesses. And like I mentioned obviously our industry is looking at recall campaigns very closely at the moment to see how the situation develops with the intensity of being placed on that process at the moment. But excluding those items, we would have been up about 2 points compared to where we are. So the 4% that we ran out would have been nearer to 6 and so we would have started to see some margin improvement in NAFTA if we haven’t had those items in Q3.
Sergio Marchionne: And some of the issues that you’ve made referenced earlier about mine, the level of unhappiness about pricing and discounts for 4Q and Q3. So I’m not – relatively large issue on pricing. I think you’ll see similar performance on that side of it in Q4. That’s not the problem. As I said, I think the real – the single largest cars of our – so depressed NAFTA earnings was due to the recall campaign costs which are substantial. The question on Ferrari, let me just give you before we start selling the stuff on the phone today, I mean, I will be on the road with proper documentation to try and back up the evaluation of argument on Ferrari. So you can make an intelligent decision on the mandatory. When I made reference to the volume ambitions of Ferrari, I only posted a pathetical numbers on the assumption that Ferrari increased volumes on its current levels of 7,200 cars up to 10,000 (indiscernible) discussion about 11,000. If I went back to the – presentation, the highest number on that chart was 10,000 cars. Then it was pitched as the metrics declined show you what the impact on profitability would be if volumes were to go from the current levels to 10,000. I never made a commitment to increase levels of 10,000 because I think one of the things that we need to be incredibly respectful of is the maintenance of the exclusivity of the brand and the attempt of the vulgarizing this through increased volumes. I was there in California for the 60th anniversary of Ferrari with a bunch of die hard (inaudible) of the brand and they’re incredibly proud of showing a historical cars. Our customer base for Ferrari is unique and it needs to be preserved as unique group of people, be careful at the market. The only thing that could cause the shifts in volumes is an increase in the customer base the one fact sales for the brand, and what I’ve said is that if a number of high networks individuals increases that drastically, we need to stop out the over debt issue on a global scale without increasing volumes in particular jurisdictions. I think the number of cars that we’re currently selling in U.S. is a number that going forward regardless of what we do with overall volumes it’s not going to increase substantial. So for all the customers of Ferrari edition never ever worry about the fact that there is going to be – this is a supply based equation. We’re going to continue to focus on the exclusivity of the brand and the associated cost of expanding distribution beyond current levels is not on as usual huge capital of cost, because it’s effectively as the reputation of current industrial policies and it will not twist the organization beyond repair. I think we need to wait until we hit the market, sometime in the (indiscernible) they’re trying to tell you the full Ferrari story, I can only tell you that we will handle this very, very carefully because we understand the downside risk of making those brand way of access full. I think we need to remain exclusive and it’s been at the hard to the success of Ferrari so far and that will not change.
Fraser Hill – Bank of America Merrill Lynch: Okay, thanks. I’ve just got one follow-up actually just comment about action you taken today we do think that that by €4 billion. Is that over a reasonably long dated timeline because I guess in the more immediate so I mean you got roughly €2 billion on the mandatory, 800 million or so on the FCA shares, and then whatever it can be on Ferrari, I mean let’s called it €400 million to €500 million, €600 million, I mean so that’s a gap. Higher price of dividends overtime, is that were you were doing to in terms of that €4 billion reduction.
Richard Palmer: No the €4 billion numbers are number that’s going to be hopefully available within a period of nine months from today. So I really want to worry about. I think most of the exercises given the executive in Q4 of this year and between the (indiscernible) and the secondary operate. All the other staff from Ferrari is exactly be in internal process of leveraging up the house and distributing dividend back upstream and getting for probation. So we should be in the market hopefully by June 30, 2015 with a 10% of Ferrari and most of this transaction should be able to differ to bed by in Q3 of next year. So I’m opening with that far off with a number that we’re looking at as approximately €4 billion.
Fraser Hill – Bank of America Merrill Lynch: Okay, great. Thank you.
Richard Palmer: Thanks.
Operator: We will now take our next question from Charles Winston of Redburn Partners. Please go ahead, your line is open.
Charles Winston – Redburn Partners: Yeah. Hi, good afternoon. Just a couple left from the Charles Winston from Redburn. The term from the mandatory convertible, have you seen there – I guess there are two ways of pricing that, one of which is to think about what sort of conversion price you’d want, and then let the debt market take a coupon or the other one will be to try to – I’d find an ideal coupon and then see what sort of conversion price you’d be looking at? Any thoughts there in terms of how you would look to price the mandatory convertible and then sort of what sort of terms you’ll be looking at and then…
Sergio Marchionne: Short data paper maximal offside on conversion.
Charles Winston – Redburn Partners: Sorry, just do max up another words looking at reason behind convertible price?
Sergio Marchionne: Yeah, the all purpose of this, if – yes, if we remain completely bullish on the plan as we have been so far. Any equity issuance now is got a perfect dilution.
Charles Winston – Redburn Partners: Okay, very clear. And just sorry the second question was going to start.
Sergio Marchionne: Charles, it’s sure the data papers. So, don’t worry about it, the coupon (indiscernible).
Charles Winston – Redburn Partners: Okay, thank you. Just very quickly, if it’s correct to say that the ring fence would exist until there is second retry on the (indiscernible) in other words June 16. Is that correct?
Sergio Marchionne: Unless they can find an intelligent way of getting it done earlier until we run cross-server analysis on the benefit also to expanding term and getting rid of those restricted payment basket earlier. We’re playing with all this now. My hope is that we’ll done before that.
Charles Winston – Redburn Partners: Excellent. Thanks a lot.
Operator: We will now take our next question from (indiscernible). Please go ahead, your line is open.
Unidentified Analyst : Thank you. Good morning, good afternoon everybody. Two more questions on Ferrari, the first is on – that if you are spending scheme similar to the FCA with a double booking for the long-term shareholders?
Sergio Marchionne: Too early to tell.
Unidentified Analyst : Okay and the second is still on Ferrari’s volumes, because I clearly understood (indiscernible). This year it should be up 5% to 7% 2000 cars. Should we take these low mid single digit growth was reasonable volume growth in order to preserve the exclusivity of the brand.
Sergio Marchionne: No comment. We’ll talk about this when we get on the road.
Unidentified Analyst : Okay. And the second question is on the full year indication of volumes $4.8 million, $4.9 million. Could you share with us what are the assumptions by region?
Sergio Marchionne: By the way, that’s the 2015 ambition, it’s not a 14 number, but may be if Richard wants to do it – I’m not doing it. But Richard want to do it at...
Richard Palmer: While in terms of our marketing forecast, I think we – obviously we think not this going to continued to be up, I think consent is around $70 million for U.S. – Latin America flat in first half, some improvement in the second half potentially they will not banking on huge growth there. EMEA slightly up – as there has been in the last few quarters, but again nothing else chattering. And Asia Pacific really continues to grow, but clearly we are not driven by market there with small enough to do – worry about share. And so I would say all the region they are going to contribute to the growth, even if overseas Latin America is the one of the most pressure at the moment from a market point of view, but we have depending on book of plants coming on in the second half of the year, which will be – the Jeep product coming in first time on localized basis and we have the Renegade in 500X in Europe and in North America and we have the new Minivan in North America, so there are number of product action is obviously up also to help us to – to reach those numbers. So we think that the number is evidently doable. The single larger shift in volume just to gives us a granularity as a fact that – the Jeeps and 500X plant will be running full cycle in 2015 and I haven’t told this to Richard again – but the actual the North Brazilian plant will be up in operational in – in operation in Q2 of 2015. So what actually have – two and half quarter of the effective volume is coming out of that plant and that’s just refine the shift and volumes year-over-year. 
Unidentified Analyst : Okay. Thank you. 
Operator: And we will now take our next question from Alberto Villa of Intermonte. Please go-ahead, your line is open. 
Alberto Villa – Intermonte : Hi Good afternoon, again on Ferrari, do you plan any change that the governor level – so is the mechanism which you keep for the Chairmanship of the Ferrari, after ISO or you 
Sergio Marchionne: Yes 
Alberto Villa – Intermonte: Okay. And secondly the interactions – let’s say the interactions that the industrial level between Ferrari and the other – let say luxury brands.
Sergio Marchionne: Limited to arms length providing our engines from Ferrari down nothing upstream, everything is down. 
Alberto Villa – Intermonte: All right, Okay. And finally other two old questions, one on the cost of the recall campaigns you were mentioning before in the North America, can you quantify them in the third quarter and may be give us an indication of the – what because that we have – we have seen continuously recall campaigns going on and…
Richard Palmer: So we had extra costs in Q3 of about €150 million and then we had a €100 million up of a – forensic adjustment to some accrual levels so those were 250 for the quarter, 150 with pure recall. And we don’t expect to have anything like that in Q4 but as I said before, these items come up unfortunately based on issues in the field that we can’t forecast. So we have a base level of spending in our cools every time we ship a vehicle that covers warranty and campaign that we don’t expect on a long-term basis to spend more than we acquiring per unit. But this quarter, we had a number of campaigns that were bunched together so it causes apt to adjusted reserve. 
Alberto Villa – Intermonte: Got it, last one from my side, the guidance on net debt for the year-end has been maintained, what is included of the capital actions you announced today it’s not in the guidance?
Richard Palmer: Nothing.
Alberto Villa – Intermonte: Okay, thank you. 
Operator: We will now take our next question from Max Warburton of Bernstein & Company. Please go ahead.
Max Warburton – Sanford C. Bernstein & Co.: Yeah, hi, could I a couple of questions, you certainly made I think a few people said in the last couple of hours, I apologize if these questions are not. As complete the ship. The first question is actually about an interview, that Joe you gave in October, the October to Bloomberg, where you talked about the need for co-productivity in the industry. And a number of people actually in the industry rather than on the investor side have said to me did Marchionne just put [Sail] (ph) up for sale. Is that something that you actually wanted to telegraph or do you want to sort of receive that absolutely that you are sending a signal that new the job is not yet done on the corporate side of SGA? 
Sergio Marchionne: Max the answer is absurd the things not up for sale and even if I had to put it up for sale, I wouldn’t do it through a Bloomberg interview. And thirdly even if I’m almost finished doing what I’m doing on not sure if it’s up for sales line. This stuff is just fiction. The only comment that I made and you would know this as well as I do and probably better than most, that this industry is a huge consumer of capital and we need to find a way to run it better than we run so far. An aggregation in and by itself is one way in which we can reduce the capital commitment to this venture. That can only happen as result of aggregation of glares. I wasn’t offering myself up, it is what it is, right. If the industry had an up send to we would find the way to collaborate extensively in the reduction of capital cost associated with its activities. It’s prohibited. 
Max Warburton – Sanford C. Bernstein & Co.: I mean the other thing was, with M&A in this industry as obviously you need leadership to make stuff work a lot of deals fail because of not proper leadership. In the same interview you said look on I’m done in 2018 I’m going to retire. From your perspective, would it make sense to do something on the corporate side before or after you leave. I mean when is the business going to be in better shape to cope with something is disruptive as a deal. Would you or after 2018?
Sergio Marchionne: I make no comment about my continuations just because that’s truly irrelevant in this process. I think we got to worry about the us as supposed to way in the leadership is growing in the leadership side. I agree with you that the choice of leadership is true to make sure it doesn’t blot. But I’m assuming that issue will be solved by the wisdom that sits in various corporate boards. I’m not seeing that as a time, there’s – let me give you a short answer, there’s nothing wrong with any particular point in time in our plan to try and entertain that issue, if the leadership was right, not advancing. Smart people would continue to execute on our plan, modify that they saw dip in 2000 May. But I think our current state and other people’s current states could allow for aggregations that happened in any time. If that was in fact their desire, and if they’re made strategic sense. Not all aggregations make sense. Some of them stink. And we should stay away from those, these will feel the business. And we’re never going to look at those if they haven’t come up. But if other do come up to make sense, I’m willing to listen. But it’s not on my agenda, before you go out there. I have nothing how am I to do this, on this stuff, I just don’t. I have begged you to this Max that is not on there.
Max Warburton – Sanford C. Bernstein & Co.: Okay. I mean loss related question on this point. My understanding is you have talked to various people in Israel, but years about what might make sense. To what degree does spinning out Ferrari change the attractiveness of the business for another OEM. I mean, when you look at Ferrari the separately listed entity, do you think it stays a separately listed company, to infinity, or at some point does someone buy Ferrari?
Sergio Marchionne: Let Mark can that call, I’m not the guy to do it. The only think I do know as mass market to do sort of cars its relationship with Ferrari is the best peripheral. And I think the best route, the best feature for Ferrari is to continue to preserve its uniqueness in environment which is designed to protect it from the contamination of a large mass market producer. Then this is true for us, and especially more true for people from the other side of the (indiscernible). So I’m this was an act of purification on our side. It was one more step probably the biggest and the most consequential step in a long journey that started back in 2004 that really provide a strategic clarity to the businesses that we’re running.
Max Warburton – Sanford C. Bernstein & Co.: Got it, okay. And one unrelated finial question. On the mandatory convert the Elkann family going to participate?
Sergio Marchionne: There is a press release that’s coming out in next little while, but I think they’ll take pro-rata share of the [Madou] (ph).
Max Warburton – Sanford C. Bernstein & Co.: Got it, great. Thanks as always.
Operator: We will now take our next question from Kristina Church of Barclays. Please go ahead.
Kristina Church – Barclays: Excuse me I’m Kristina Church here. Two questions from my side. Firstly, sorry coming back to Ferrari again, could you just give a feel for what percentage of the business is coming from non-car products, ancillary products and where you might see that currency going forward? And then on a separate note, could you confirm your liquidity requirement, what you see as the amount of liquidity that you need around the line business. I know in the calls you’ve talked about a level of around 15% revenue. Does that still stand? Thank you.
Sergio Marchionne: Let me deal with the second issue. Done roughly I think while the things Richard and I sort of agreed to as a talk in the piece keeping here, the number that 15 then you when solving sense is removed. If 15 (indiscernible) is more than enough to deal with doomsday scenario, so I’m not, I think that there is a substantial amount of cash release available from the system, if you were ever able to get that number, and I think the removal of the rate sensing will facilitate that tremendously. I think we talked about the P&L saving a roughly $300 million a year. So, I think we need to move, we need to get off our butts to get that going pretty quickly because the impact on earnings is substantial. On the first question it’s the opt level, Richard go ahead.
Richard Palmer: Kristina, I would say that the (indiscernible) business is not significant revenues in Ferrari from known car related activity.
Sergio Marchionne: Yes let me, I think the real unexplored story here is how will you term that exclusive brand into a full expression of what that brand could be even outside cars. So very tricky at. I think you need a special set of people to get that done, I’m not sure that we have the model within Ferrari, but we can get them. But I think that we needed to continue to protect (indiscernible) which is the production of cars and we need to ensure that we go back on the track and start wining again which has been part of the DNA of the house since it was founded.
Kristina Church – Barclays: And I guess positive the question was, looking in the past you’ve talked about Ferrari being worth it a luxury multiple. Do you still see that outstanding or do you think that still the capital constrain so that, but still being a car business even with the luxury brand.
Sergio Marchionne: I don’t think, by the way I’ve actually think the car is almost incident to the Ferrari. I know this sounds really just giving what we produce, but it is truly a luxury brand and it is unique, there’s nothing now like it.
Kristina Church – Barclays: Thank you.
Sergio Marchionne: You can buy a, variety handbags, you can’t buy a variety of Ferrari’s.
Operator: We will now take our next question from Richard Hilgert of Morningstar. Please go ahead.
Richard J. Hilgert – Morningstar Inc.: Good afternoon, good morning and thanks for taking my questions. On the earlier comments, about the $4 billion number connected with Ferrari, is that an enterprise value or is that an equity value?
Richard Palmer: The $4 billion that I have talked about was the amount of capital that would be injected into FCA as the result of the issuance of the mandatory the placement of the 100 million shares. The leveraging up for Ferrari, the floatation of 10% it is total net proceed to FCA of all the things we’ve announced today, that’s what it’s worth. My expectation as the Ferrari’s worth substantially more than the number you’ve said.
Richard J. Hilgert – Morningstar Inc.: Okay, very good. We’ve got the net industrial cost €466 billion to €250 billion being warranty recall €150 billion being recall. On LATAM there was an $83 million Industrial cost. How much of that was Pernambuco in the quarter?
Richard Palmer: Pernambuco was €15 million.
Richard J. Hilgert – Morningstar Inc.: Okay and then with the rest of the recalls down in LATAM also?
Richard Palmer: No, this is basically inflation costs on in Pernambuco for the product.
Richard J. Hilgert – Morningstar Inc.: Okay and then, the 12% decline in LATAM demand. That was a year-to-date or that was in the quarter?
Richard Palmer: Sorry, if could you repeat on this, that question.
Richard J. Hilgert – Morningstar Inc.: The 12% decline in LATAM demand that was in the quarter or was that year-to-date?
Richard Palmer: In the quarter.
Richard J. Hilgert – Morningstar Inc.: Okay and then the forecast for the year is at 8% decline.
Richard Palmer: Full year?
Richard J. Hilgert – Morningstar Inc.: Yeah for the full year, are you expecting fourth quarter to be up year-over-year?
Richard Palmer: No, we are not. The first half was fairly stronger than second that we are basically looking at Q4 which is similar in a run rate slightly improving over Q3 because seasonally that’s would normally happen in Brazil as we go into the setting period of Christmas. Clearly the thing I was watching in Brazil is the reaction of the economy in the market following the election of October 26. So we are going to track the number very closely over the next few weeks.
Richard J. Hilgert – Morningstar Inc.: Okay. Very good, excluding restructuring costs than the total EBIT for the quarter was 962?
Richard Palmer: Yes.
Richard J. Hilgert – Morningstar Inc.: Okay and the restructuring is?
Richard Palmer: It some compensation costs for the exit of the ex-chairman of Ferrari plus some restructuring in Latin America. 
Richard J. Hilgert – Morningstar Inc.: Okay. Very good. Thank you.
Richard Palmer: Thank you.
Operator: We will now take our next question from Brian Jacoby of Goldman Sachs. Please go ahead.
Brian Jacoby – Goldman Sachs: Thanks for taking my question. Question just regarding the comments around the notes, the secured notes at Chrysler the language now seems to imply that you are considering redeeming them potentially, actually before potentially the actual call basis is that the right way to think about that?
Sergio Marchionne: I think we are going to find ways to accelerate the timeframe it fits economically viable. The call previously associate with an early call today are not digestible.
Brian Jacoby – Goldman Sachs: Okay. Is that applied for both securities or is that more, for the…
Sergio Marchionne: Well. Look the 19s have got much smaller cost associated with then they all getting relatively close for the call date. So that’s not the issue, the issue was 16. And that sort of the 21 I’d call of it all in 16.
Brian Jacoby – Goldman Sachs: Great. Okay, thank you. And then one other quick question it is just regarding the €4 billion number obviously we can all kind of back into what 10% of Ferrari might be worth. So but presumably there is two components to add the value of the common that will be floated and then there is the 10% of Ferrari just conceptually that’s a right way to think of that correct?
Sergio Marchionne: And just about.
Brian Jacoby – Goldman Sachs: Okay great thanks. Thanks for the questions.
Operator: We will now take our next question from Stephen Wightman of Societe Generale. Please go ahead.
Stephen Wightman – Societe Generale: Yes, good afternoon. Couple of questions please, first on Ferrari, you did mentioned about the profitability Ferrari could be well worth of €1 billion if you go to 10,000 units or so. My question is on the EBITDA Ferrari in 2013, the EBIT was €364 million could you give us some guidance actually – actual EBITDA was where the depreciation and then was for that year. And secondly, I’m looking at again at the U.S. operations we’ve had a some service recently and most recently, you can see the reports and I think maybe some of the concerns that – sometimes I mentioned in these survey wouldn’t necessary trouble the European drivers maybe. So reflecting the sometimes with U.S. base and whatever but. I’m looking at the survey I mean you’re in quite be company in the sense Chrysler I got you seen same is also brands to level further. Your brands are pretty much to the bottom of the pile with your analysis of the issues there and what especially you are taking to – actually to move up this and then in terms of section for the brand.
Richard Palmer: Yeah, let me be able to second issue and I’m not in this – it was management of the process on our part. We have made leadership choices the same way then your permission came out the function is being restructured, I’m not taking issue with the survey itself other than it is clear that we’re focused on the wrong things in dealing with some parts of the customer base then we need to go back in a fixed perception. Because I know that from an engagement standpoint the whole house has been driven the completed and direction of those surveys are indicating. So we have an absolute mismatch of internal evaluation and commitment they used to coming out for the marketplace, I don’t doubted at all the reliability of that I just think we need to fix the perception on reality front and we will do, we will change the leadership that we’ve announced, I don’t want to I’m not throwing anybody under the bus, the total responsibility for what happen I don’t think it’s going to – we’re not the only one that have been permanent acquisition as a result of nominate performance of particular components in particularly year, but I think we will fix in a fixed equipment. On the other you actually you asked about EBITDA being the numbers about $650 million or 13%.
Stephen Wightman – Societe Generale: Thank you.
Operator: We’ll now take our next question come [Philip Pushwa] (ph) of UBS. Please go ahead.
Unidentified Analyst: Good afternoon. First of all I want to thank you very much for the transaction in which in search for longtime as you know so I think that’s well done thank you.
Richard Palmer: I know your advice Philip is never to show to start.
Unidentified Analyst: Don’t think I will do it. Right a couple of questions on the operations, I look back on the Chrysler since you came out of exactly 11 you’ve regained three to four points of share much through the some of your competitors. And I’m just wondering maybe this is kind of your natural market share level for Chrysler. Just wondering to what extend some of the weak operating leverage we saw over the years was kind of the cost of regaining some legitimacy in the market. Now, you there I don’t know if you want to gain those markets you do based on your plan. But as we are going to have maybe a better relief on your cost base as you maybe half year that level of share get back in the game. And could that be helpful for the margins. This is my first question. The second one is looking at your – that we had discussion in Detroit in May, the amount of interest you paying to your creditors is a huge amount of dilution and you are addressing that issue today in part with raising capital and et cetera. And keeping aside number of new shares, et cetera, what do you think after this exercise your interest expense could be, right now, we are paying about one point – what do you paying about $1.8 billion, which is that 75% of your U.S. gas define EBIT. What could be the number in the pro forma basis taking into accounts reduce debt maybe reduce after carry refinancing, et cetera. If future has a number that will be great.
Richard Palmer: Just – the answer for your first – to be appropriately – we haven’t done anything from a commercial standpoint and its all objective that are gaining shares suppose to production of margins. The Chrysler story is a complicated story, because of the age of the portfolio and the attractiveness of some of its offerings in the NAFTA market. And I think we’ve paid a price for that in terms of margin generation. In the business, but I don’t see any of our southern having a healthy compares a period of time get share for everybody we can. As intentionally target of shares with single largest driver of business development, and it’s no use maybe driving one the aftermarket that’s I want to get 5% more share on that market. I remind everybody in our retail basis of this one month of share will be at prior to that was sort of an unheard of objective try to just back in 2009 the fact that we were able to do that. I think is look initial of the fact that the commercial team is function properly. I think that the ambitions for us in terms of market share grabs our embodied on the plan. There is nothing exceptional about this large driver of that growth is the full exploitation of the G brand in NAFTA. The rounding out of Chrysler is the full product provider in the mass market in the United States. So many things are I think the sum of all the brand development gets the number we need to get to, so I think I have no market share ambition, other what I think the product portfolio will there in the NAFTA market and I am going to pass on the question to – look I am looking at number of scribbles on the page that Rich did. That is as good as a guess, when you go for interest calculations. So, I think he is explaining it’s going to be about €1 billion, does all the stuffs. From the 180 you said €1 billion.
Unidentified Analyst: And that is before kind of the '16 maybe or early in the…
Richard Palmer: Be a little later than that. We take the get the benefit of the generation in 2017.
Sergio Marchionne: Is actually is facing in some of the removal of rate fencing.
Unidentified Analyst: All right, okay. But that's…
Sergio Marchionne: I think we need to release of these $6 billion worth of liquidity out of the system I mean it just and that hinges on our ability to remove the ring fence. As soon as we do that you will see numbers plummet.
Unidentified Analyst: Right.
Sergio Marchionne: That is crack – let us – a crack just moving out of the ring.
Unidentified Analyst: Thanks, it’s a nice number. Thank you. 
Operator: We will now take our next question from George Galliers of ISI Group. Please go ahead. 
George Galliers – ISI Group: Yes, good day. Few questions from me, the first one is just coming back to the last question and the interest – the reduced interest expense. Earlier on the call, did you not say or allude to the fact that net income has resulted today’s action. We didn’t change versus the plan and I wonder how that just fits in with reduced interest expense. Is or – is it something on missing that? And then secondly just following that from what Matt said, with respect to Ferrari, the message should I care. I have a couple of markets then either Ferrari was not to for sale. Now you’re obviously offering 10% what probability would you put on making a greater replace in Ferrari available in the future or indeed in offering space in your other brands, Maserati or maybe Alfa Romeo, where we know there is interest from some of your competitors? 
Sergio Marchionne: I have no plans or any other brand other than Ferrari. And I have no plan to trying and explain, expand flow or doing anything else with Ferrari, going forward other than the spin off on the 10% equity rate that we’ve planned for 2015. 
George Galliers – ISI Group: Okay. And then with respect to the reduced interest expense and how that fits into to the plan, which you presented on the capital markets today?
Sergio Marchionne: By the way somebody just told me that you think it’s only a 10% flow Ferrari in the marketplace. Is that what you thought? 
George Galliers – ISI Group: Sorry.
Sergio Marchionne: No, no. there is a full spin of the 90% position that Fiat has than Ferrari. Full spin – it will be just 80% of the 90% will be given to the FCA shareholders for free and 10% will be sold.
George Galliers – ISI Group: Okay, that’s very clear.
Sergio Marchionne: All right, so 80% for free – keep on repeating this for underline you’ll get it for free.
George Galliers – ISI Group: Yes. 
Sergio Marchionne: And 10% will be paid for. So if you buy the FCA share, you’ll eventually get a Ferrari share. 
George Galliers – ISI Group: Okay, yes. That’s very clear.
Sergio Marchionne: And if you buy the Mando, you’ll get a Ferrari share.
George Galliers – ISI Group: Understood.
Operator: We’ll now take our next question from Alexis Albert. Please go ahead your line is open.
Alexander Hauenstein – MainFirst Bank: Hi, good afternoon. This is Alex Hauenstein. Thank you for taking my questions. I have two questions. The one is regarding the $4 billion you mentioned. I just want to make sure that the $4 billion includes the debt that you’re going to put in Ferrari or not? This is the first question.
Sergio Marchionne: Yes, it does.
Alexander Hauenstein – MainFirst Bank: Okay, it does. Okay, very clear. And the second question is back to the question from Philip, the 1.8 to 1 so this is after 2016. What about the short-term like 2015, I think you said P&L impact would be $200 million toward 2016 that would be right in 2015?
Sergio Marchionne: Why don’t we wait until we work our way through the quarter. Let’s close up the year and we will give you guidance on 2015.
Alexander Hauenstein – MainFirst Bank: Okay. Thank you.
Sergio Marchionne: Thanks.
Operator: We will now take our last question from Thomas Besson of Kepler Cheuvreux. Please go ahead.
Thomas Besson – Kepler Cheuvreux: Thank you very much. I’ll give a quick. Can you please comment on the tax implications of this enough (indiscernible) for FCA and for the investors getting itself – my first question please?
Sergio Marchionne: There is should be no adverse tax consequences to Italian, Dutch, I think America and English shareholders, check with the tax advisers, I don’t want to – I’m not very good to giving free tax advice. I’m not even sure any go to giving free tax advice. So you should speak to your advice, our views, there’s no adverse tax consequences. This based on (indiscernible) today, there is should be no adverse tax consequences towards as a result of this spend.
Thomas Besson – Kepler Cheuvreux: But I was mostly interested by the impact on this year. Can you comment on the CapEx plan for FCA for this year, and year-to-date to be a bit higher for the year? Can you give us your best indication for what is going for the full year and the 2015, Ferrari for about half of the year at least?
Sergio Marchionne: Richard.
Richard Palmer: This year was so comparing to CapEx of about €8 billion for the full year?
Thomas Besson – Kepler Cheuvreux: €8 billion?
Richard Palmer: Yes, €8 billion which is the number we’ve consistently given for 2014 and we’ll give you for 2015 when we come back and give guidance for the year.
Thomas Besson – Kepler Cheuvreux: Great and last question please, can you explain if the Ferrari has had any implications for the way Maserati is going to be run or whether – cash or anything between the companies…
Sergio Marchionne: I think there will be collaboration on engines being produced by Ferrari for Maserati that will continues and it happened (indiscernible) and that’s probably that’s expected to continue going forward, but there is no other implication and it will not have any negative implications for Maserati going forward.
Thomas Besson – Kepler Cheuvreux: Great thank you very much.
Sergio Marchionne: Thank you.
Operator: (Operator Instructions) We will now take a question from Richard Hughes of Morningstar. Please go ahead.
Richard Hughes – Morningstar: Thank you. Just I wanted to get your take on what the environment is currently for the recalls. If we caught and pass the worst of it or do you think that there is going to be added government straightly going forward that will need to have more?
Sergio Marchionne: As same as last – I don’t know, Richard. And to be perfectly honest, I’ve been made these comments before, I think we need to work with the system to try and find a wide level of equilibrium and it’s impossible for me to predict what the future will hold on this. So I don’t think – you’ve made very well be that we’ve peaked or getting very close to a peak, but I can’t call this every time I read the paper there is another recall on the way including some of ours. So I think that the industry may have over shrunk the market in terms of recall activity. I mean it made just hypersensitive. But let’s work our way through here and see what – where the sold exercise ultimately stabilizes.
Richard Hughes – Morningstar: Very good, thank you.
Operator: That we will conclude the question-and-answer session. I would now like to turn the call back over to Joe Veltri for any additional or closing remarks.